Operator: Thank you for standing by, ladies and gentlemen, and welcome to the United Maritime Corporation Conference Call on the Second Quarter and First Half for the periods ended June 30, 2025 Financial Results. We have with us Mr. Stamatios Tsantanis, Chairman and CEO; and Mr. Stavros Gyftakis, Chief Financial Officer of United Maritime Corporation. [Operator Instructions] Please be advised that this conference call is being recorded today, Wednesday, August 6, 2025. The archived webcast of the conference call will soon be made available on the United Maritime website, www.unitedmaritime.gr, under the Investors section. Many of the remarks today contain forward-looking statements based on current expectations. Actual results may differ materially from the results projected from those forward-looking statements. Additional information concerning factors that can cause the actual results to differ materially from those in the forward-looking statements is contained in the second quarter and first half for the periods ended June 30, 2025 earnings release, which is available on the United Maritime website, again, www.unitedmaritime.gr. I would now like to turn the conference over to one of your speakers today, the Chairman and CEO of the company, Mr. Stamatios Tsantanis. Please go ahead, sir.
Stamatios Tsantanis: Thank you, operator. Welcome to the United Maritime conference call to discuss our financial results for the second quarter and 6- month period ended June 30, 2025. In the second quarter, we achieved net revenues of $12.5 million, EBITDA of $5.9 million and net income of about $1 million. Our net daily Time Charter Equivalent of $15,400 marks a significant improvement from the first quarter. A large portion of our net income this quarter is due to the strategic consolidation of our offshore newbuilding investment. We are encouraged by the swift rebound in the dry bulk market following the seasonal slowdown observed early in the year. Our ability to capture high rates through a balance between index-linked and fixed rate time charters demonstrates the agility and effectiveness of our commercial strategy. At the same time, the continued strength in asset values enabled the strategic divestment of certain of our older vessels at levels that will strengthen our profitability and enhance our liquidity reserves in the coming quarters. Based on the resilience of the dry bulk market, the successful disposal of our older vessels, the progress marked in our offshore newbuilding project and our balance sheet position, our Board of Directors has declared a $0.03 per share cash dividend for the second quarter, consistent with our established capital return policy and a clear signal of confidence in our performance and liquidity. This adds to our consistent record of more than $1.6 per share cash dividend payment since 2023, highlighting our commitment to returning capital to the shareholders. As part of our fleet renewal strategy, we have sold 2 of our oldest Capesize vessels over the last 6 months. The sale of the 2004 built Gloriuship was completed in June for a net price of $15 million. We have also agreed to sell the 2006 built Tradership for $17.8 million with delivery expected in mid-August. These 2 sales are expected to generate approximately $17.9 million in net liquidity after debt repayments, and we anticipate a book profit of about $1.5 million from the Tradership sale in Q3. We are closely monitoring market conditions and expect to deploy the net proceeds from the sales towards a combination of additional capital returns and high- quality fleet replacement opportunities. Moving on to our guidance for the third quarter of the year. We have fixed 68% of our operating days at a Time Charter Equivalent of $15,500 per day. Assuming the current FFA rates for the remaining years of the quarter, we project a total third quarter TCE to be approximately $14,700. This includes one Kamsarmax vessel earning a fixed daily rate of $15,700, 1 Capesize vessel earning $22,000 per day on a gross basis, 2 vessels employed on short-term employment to be concluded within August. And finally, 3 vessels trading purely on index-linked charters until the end of the year. For the fourth quarter, we expect to have all of our vessels employed under index-linked daily earnings, offering full exposure to what we expect to be a constructive dry bulk market. Furthermore, looking beyond our dry bulk fleet, in April 2025, we increased United Maritime's ownership stake in our newbuilding energy construction vessel. Our total investment in the project will reach approximately $10.4 million, up from $8.8 million intended initially. This represents an approximately 32% equity stake in the project and reflects our firm belief in the commercial prospects of this investment. This marks a major step in our offshore investment strategy. The vessel is designed for high-end energy construction projects, a niche market with almost no new capacity and growing demand across both renewables and oil and gas. The extremely limited order book for such vessels makes us confident in securing attractive chartering opportunities. Given that the construction time line calls for completion within 2027, we anticipate being in a position to provide greater clarity on employment prospects by early 2026. Industry overview. Let's turn to the dry bulk market. Despite macroeconomic uncertainty, we're seeing encouraging signs of recovery and resilience with charter rates rebounding meaningfully from the lows of early 2025. More specifically, the Baltic Kamsarmax Index averaged about $11,800 in the second quarter, up from $9,600 in Q1 2025, while spot market rates have since risen further around to $15,000. Respectively, the Baltic Capesize Index averaged about $18,600 in the second quarter, up from $13,000 in the first quarter, both significant increases from the first quarter. Turning to the Panamax market. The first half of the year was particularly challenging, primarily due to a decline in seaborne coal volume. While most other commodities traded roughly in line with expectations, coal was the main outlier. Coal seaborne trade declined by 7%, impacted by high inventories entering the year and rising domestic production in China and India, which reduced imports demand further. However, the coal inventories in China during the course of the first half have declined significantly, while the recent government efforts to curb the rapid pace of local coal mining have led to a sharp rebound in domestic coal prices. As the local coal market seems to have shifted to a better supply and demand balance, higher coal prices are expected to incentivize more seaborne imports in the second half of 2025. Since late June, we have seen a resurgence in Panamax charter rates, driven by increased Atlantic Basin grain exports, rising coal activity and higher port congestion. We're confident the bottom of the cycle is behind us. With coal and grain flows recovering, Panamax rates are strengthening, and we are positioned to benefit as higher coal price and inventory restocking are likely to lead to higher seaborne volumes. With regards to the Capesize market, the weather disruptions that hampered seaborne iron ore trade early in the year have abated, leading to record high June iron ore exports from Australia. Although the total amount of seaborne iron ore traded in the first half of the year was marginally at 2024 levels, a significant shift towards Atlantic Basin cargoes supported high Capesize vessel demand and contributed to a resilient market, means more ton miles. Looking towards the second half of the year, all major iron ore miners have reiterated their sales guidance, suggested higher seaborne exports than what we saw in the first 6 months of the year. China imports are expected to remain strong, driven not just by actual steel production, but mostly by inventory restocking. Bauxite exports from Guinea rose by more than 30% compared to the first 6 months of 2024 with strong trade volumes expected to continue through year-end. Moving on to vessel supply outlook. The current Capesize order book remains at historically low levels around 8% to 9% of the existing fleet, while about 20% of the fleet is older than 15 years. For the total dry bulk fleet, the order book is currently about 10% of the existing fleet, with more than 28% of the fleet being older than 15 years. As environmental regulations are tightening and enforcement intensifies, the 2-tier market is forming whereby vessels with higher fuel consumption become penalized and may be unable to compete for cargoes on the same terms. Newbuilding prices are currently at high levels. Given the prevailing charter rates, the economics of placing new dry bulk orders remain relatively unattractive. At the same time, shipyard slot availability is low as we have seen extensive ordering of other vessel segments. Overall, this represents a situation where low vessel supply growth seems to be fairly predictable over the next years. Against this backdrop, low demand growth combined with potential fleet inefficiency that may reduce effective fleet supply should lead to higher charter rates. We believe that United is in a good position to capitalize on favorable dry bulk balance, while our diversification into a rare high-specification newbuilding offshore project affords us multiple avenues through which we can produce high returns on capital. What is more, our proven track record of large capital distributions to our shareholders and our ability to achieve all this without having to resort to highly dilutive public share offering makes United Maritime a high conviction platform for investors seeking disciplined capital deployment, income generation and exposure to improving dry bulk and offshore cycles. I will now pass the call to Stavros Gyftakis, our CFO, to discuss our financial results. And then back to me for the conclusion.
Stavros Gyftakis: Thank you, Stamatios. Welcome, everyone, to our earnings call. Let us start by reviewing the main highlights of our financial statements for the second quarter and the 6-month period ending June 30, 2025. So in the second quarter, our net revenue reached $12.5 million. While this figure is nearly unchanged from the same period last year, it marks a significant improvement over our performance in the first quarter. Adjusted EBITDA for the quarter was $5.1 million. Net income rose to $1 million, up from $0.7 million in the prior year. This result was largely driven by an accounting gain stemming from the consolidation of the entity investing in the offshore project, which attests to the well-timed decision to increase our share in the energy construction vessel. Looking at the first half of 2025, our net revenue totaled $20.2 million, which is $2.8 million lower than the same period last year, reflecting softer Time Charter Equivalent rates. Adjusted EBITDA for the 6 months was $6 million. Net loss for the period was $3.5 million compared to a net loss of $700,000 in the first half of 2024. On the expense side, we achieved further reductions in our daily operating expense per vessel, bringing them down to $6,300, while additionally, we managed to lower our total G&A despite ongoing inflationary pressures. Turning to our balance sheet. Our cash position at year-end stood at $3.4 million, reflecting ongoing capital expenditure and the additional investment in the offshore project mentioned earlier. Looking ahead, we expect a significant cash inflow in the third quarter following the delivery of the Tradership to new owners with net proceeds estimated at approximately $10 million. This sale is a key part of our ongoing strategy to optimize fleet composition. Meanwhile, as of the end of the first half of 2025, our total assets amounted to $161 million, while stockholders' equity stood at $60 million. Our outstanding debt totaled $86 million, including liabilities under bareboat charter or approximately $12 million per vessel. This compares well with the average value of our vessels, which stands at approximately $18.4 million. Now regarding financing updates, following the sale of the Gloriuship, we prepaid the corresponding tranche under the Huarong Sale and Leaseback agreement amounting to $7.5 million as well as the $2 million short-term unsecured bridge loan provided by Seanergy. As a reminder, the proceeds of this loan were used to finance the increase in our stake in the offshore project. Before handing the call back to Stamatios, I want to emphasize our confidence in the company's ability to return to sustained profitability. In our short 3-year now history, we have undertaken a number of investment initiatives across the tanker, the dry bulk and offshore sectors, which have been funded organically. We have created a solid track record in the capital markets, safeguarding shareholders' equity and have proven our commitment to prioritize and maximize distributions of capital. Stamatios, over to you.
Stamatios Tsantanis: Thank you, Stavros. Following our successful tanker investment cycle that was concluded in Q3 2023, which delivered strong returns for our shareholders, we now operate an exclusively Japanese-built dry bulk fleet. We're very proud of our progress so far being successful in building a quality fleet with strong prospects without resulting in any dilution of the shareholders that have supported us at our first and only capital raising 3 years ago. On top of that, since 2023, we have paid a total cash dividend of $1.65 per share, representing a very significant portion of our current share price. Additionally, we have engaged in extensive share repurchasing amounting to $7.1 million at an average price of $1.90. United Maritime is positioned to benefit from positive dry bulk market trends due to index-linked time charters that provide direct exposure to Capesize and Panamax market upside potential, a healthy balance sheet that allows for leveraged exposure to the sector and the potential for high returns on capital, a proven commitment to rewarding shareholders through substantial capital returns, resulting in a high dividend yield. Lastly, I'm confident in the prospects of our investment in the offshore sector, which I believe will also generate high returns for our company and shareholders. Thank you very much for listening to our call and looking forward to receiving your questions. Operator, please take the call.
Operator: [Operator Instructions] Our first question is from the line of Tate Sullivan from Maxim Group.
Tate H. Sullivan: [indiscernible] your capital commitment for the offshore vessel is about $10 million...
Stavros Gyftakis: Tate, sorry, your line was breaking up a bit. If I got your question right, you're asking about the remaining installments for the ECV project. So as Stamatios highlighted in his commentary, initially, we had committed to inject around $8.5 million, which we now increased to around $10.5 million. There's one last payment of $2 million, which is due in November. And then basically, we are done with the equity on this project. The construction of the ship is starting now. The still cutting is starting -- is taking place as we speak. So the next installments are going to be covered by debt.
Tate H. Sullivan: I can hear -- I apologize. Is it the same kind of lending terms for your offshore vessel lenders and is it the same lenders [indiscernible] market for financing for offshore vessel?
Stavros Gyftakis: Yes. We -- I mean, we are discussing with the partnership, but you should expect similar terms to the ones that we have been able to achieve on our remaining financings in terms of pricing. The advance that we will get there, it depends also on the employment development. But you should expect an advance between 65% and 75% of the contract price.
Operator: [Operator Instructions] There are no further questions at this time. So this concludes today's conference call. Thank you for participating. You may now disconnect. Speakers, please stand by.